Operator: Welcome to SelectQuote's First Quarter Earnings [Technical Difficulty]. All lines have been placed on mute to prevent any background noise. After the speakers' remarks, there will be a question-and-answer session. [Operator Instructions] It is now my pleasure to introduce Matt Gunter, SelectQuote Investor Relations. Mr. Gunter, you may begin the conference.
Matt Gunter: Thank you, and good morning, everyone. Welcome to SelectQuote's fiscal first quarter earnings call. Before we begin our call, I would like to mention that on our website, we have provided a slide presentation to help guide our discussion. After today's call, a replay will also be available on our website. Joining me from the company, I have our Chief Executive Officer, Tim Danker; and Chief Financial Officer, Ryan Clement. Following Tim and Ryan's comments today, we will have a question-and-answer session. As referenced on Slide 2, during this call, we will be discussing some non-GAAP financial measures. The most directly comparable GAAP financial measures and a reconciliation of the differences between the GAAP and non-GAAP financial measures are available in our earnings release and investor presentation on our website. And finally, a reminder that certain statements made today may be forward-looking statements. These statements are made based upon management's current expectations and beliefs concerning future events impacting the company, and therefore, involve a number of uncertainties and risks, including, but not limited to, those described in our earnings release, quarterly report on Form 10-Q for the period ended September 30, 2024, and other filings with the SEC. Therefore, the actual results of operations or financial condition of the company could differ materially from those expressed or implied in our forward-looking statements. And with that, I'd like to turn the call over to our Chief Executive Officer, Tim Danker. Tim?
Tim Danker: Thanks, Matt, and thank you all for joining today. I'll start with a high-level thoughts on the upcoming year, a few early observations from AEP and an update on SelectQuote's position to add value to each of our stakeholders. As you saw from our press release, the year is off to a strong start and SelectQuote is executing very well in the ongoing AEP season. We are ahead of our original expectations and, as a result, increased our fiscal 2025 outlook on both the top- and bottom-line. Ryan will detail our financials later, but the headline is that SelectQuote prepared well for the Medicare Advantage season and continues to perform in our Healthcare Services segment. As you know, there's been a lot of commentary about Medicare Advantage and how insurance carriers have shifted benefits for the ongoing enrollment period. The predominant question is how changing policy features by carriers would impact industry origination volumes and throughput this season. We'll speak to the strength we've seen in our results in a minute, but the shifts this season are a good example of why our bespoke service model is so important. We employ highly trained agents and support them with significant data and technology to help achieve one goal, find the best Medicare Advantage policy or prescription medication service for each customer's unique set of needs. As we've said, we feel very good about our model in a wide range of Medicare Advantage selling seasons and our high-touch approach is even more critical to both policyholders and careers when decision factors are in flux. We think the ongoing season will validate that claim, and based on our early reads, we expect to be highly successful again this year. So, let me begin on Slide 3 with a brief overview of our quarter. It was a strong way to begin fiscal 2025 as we drove year-over-year revenue growth of 26% and minimized our adjusted EBITDA drag in what is traditionally SelectQuote's largest investment quarter as we ramp into AEP. In fact, our year-over-year EBITDA improved by nearly $10 million, driven by continued scale in our Healthcare Services business and the resulting efficiency of our marketing spend, which ended the quarter at a very strong revenue to CAC ratio of 4.6x. In all, our consolidated financial results for the first quarter were very healthy and provide a strong foundation for a successful year ahead. With that as a level set, let me speak to a few key themes we are strategically focused on for both our Senior distribution and Healthcare Services business. Beginning with Senior, as I mentioned, we are very encouraged by what we have seen early in AEP relative to our initial expectations. First, regarding our most important asset, our agents, we had one of our highest retention years on record for our tenured agent workforce. This is important in three main ways for SelectQuote. First, we were able to spend more time on policy education and customer service considerations for this specific season instead of basic training. Second, our recruitment and training expenses were modest, which aided profitability for the fiscal first quarter. And third, we believe SelectQuote's competitive advantage likely widened headed into this AEP, driven by Medicare Advantage plan benefit volatility where the experience of our agents is all the more important for both our customers and our carrier partners. Another theme I'd highlight in the early days of AEP has been our model's consistent improvement in agent close rates and productivity. We've spoken at length about our strategic focus on unit level returns and prioritizing profitability and cash flow over growth. We have achieved that in the past two years with rigorous lead targeting and the use of more tenured agents whose productivity is about twice that of non-tenured agents. On that foundation, we continue to further improve productivity by adding data tools and technology specifically designed to benefit customer fit and experience. I bring it up again now because agent productivity is the most attractive lever we have to drive additional growth. As you know, we continue to improve our capital flexibility and have more to do. In the current season, the best way for SelectQuote to grow our Senior business is higher throughput, and season to-date, the results have been very impressive. In fact, we've accomplished a high level of agent policy productivity on a relatively stable marketing budget. Put another way, our tenured agents are helping more seniors per lead than they have in the past. This is a very strong proof point for why the agent-led SelectQuote model is built for all seasons. Before I detail the AEP season, let me also give an update on our Healthcare Services business and the strong performance of SelectRx. Our membership is now over 86,000, which is up 64% year-over-year. Despite the strong growth, we drove our sixth straight quarter of profitability for the business and we are in the process of expanding our capacity to serve customers even more efficiently in the future. If we turn the page, let me expand on the ongoing Medicare Advantage annual enrollment period. I'll speak to our strategy heading into the season and then review some initial observations we've had so far. I'll start with our agents. The only thing I'd add to my previous comments is that we continue to be impressed by the additional operating leverage that exists with our experienced agents. The outperformance of our agents and the positive impact we are seeing on close rates relative to expectations is the biggest factor for SelectQuote's operating performance so far this season. Moving to marketing. SelectQuote's strategy for the past two-plus years has been one of highly targeted lead sourcing for policy origination. This approach has been successful and is even more critical for the ongoing AEP. As a result of our focus on driving cash flow to improve our balance sheet, we have assigned a high bar for the use of marketing dollars. Specifically, we've used early learnings about policy feature changes to develop specific targeted marketing campaigns, which are performing very well season to-date. If we move to the third column, we can review how SelectQuote's data and technology is being leveraged for the current AEP. The biggest change for the upcoming season has been the expansion of our AI tools to screen and prioritize calls as well as simplify and accelerate processes behind the scenes. This AEP has shown continued success of these tools, but also additional use cases that we will pursue in the future to drive additional value. Last, but not least, the close partnership we have with our career partners proved critical this AEP given the shift in plan benefits. More than any other season, we've worked quickly to develop strategies to serve both existing policyholders that may seek a better policy fit. Similarly, we've been able to match our lead targeting with planned features to optimize fit for the end customer. While the ongoing season presents new challenges and opportunities, SelectQuote's model was purpose-built to deliver in a range of selling environments. There is always an opportunity to improve and evolve, all with complete alignment between our policyholders, career partners and our own financial returns. Moving to Slide 5, let's talk about the progress we're making to optimize our balance sheet. As we've noted last quarter, we believe SelectQuote's model and the market opportunity in front of us presents more growth potential than we are currently equipped to fund. We announced the first step in our recapitalization plan last month and with our initial Medicare Advantage commissions receivable securitization. Specifically, we raised $100 million in proceeds through an investment grade rated transaction. In addition to the proceedings, the transaction accomplished three key things. First, we extend our term debt maturities by approximately two years and have the ability with subsequent paydowns to further extend the maturity by an additional year. Second, the initial securitization comes at a significantly improved cost of capital. On a like-for-like basis, the blended cost of our securitization is in excess of 500 basis points lower than our term debt rate, which equates to real cash interest expense savings of $5 million per year. With the time provided by our maturity extension, we believe there are opportunities to further decrease our cost of capital, whether through subsequent securitization or other financing options. Third and probably most underappreciated, the initial securitization only pledged roughly 15% of our receivables balance to generate $100 million in proceeds. For illustration's sake, the remaining roughly 85% of our receivables book would imply potential proceeds well in excess of $400 million. We feel very confident in the timeline and the available options we have to improve our balance sheet over the upcoming year. Additionally, we have significant assets and cash flows to pursue better funding, both in terms of structure and rate. With that, let's turn to Slide 6, and I'll conclude with a brief overview of our priorities in the near term. In short, the message we've delivered has two parts. First, we have a highly efficient operating model that has produced a strong track record of consistent returns in a market with significant growth opportunity. The highlights of that model are shown here on the left side of the slide, and it is our intention to continue to drive the same type of performance in the future. The second part of our story is that of a company with a limited ability to achieve its true growth potential given our leverage profile. As we just talked through, SelectQuote has taken an initial step with our securitization, but we have much more to do. Our priority in 2025 is to eliminate the headwind our leverage creates and meaningfully improve our capital flexibility. As we show on the right of this slide, our plan is to work towards a target term debt leverage range of 2x to 3x. We'll share more in the coming quarters, but I'll end my comments by thanking our teams for their work and our shareholders for your support. We know there is a tremendous value opportunity as a leading enabler in the healthcare ecosystem. It is our job as a management team to make sure SelectQuote is armed with both the model and balance sheet to capitalize. With that, let me turn the call over to Ryan to discuss our financial results for the quarter. Ryan?
Ryan Clement: Thanks, Tim. I'll start on Slide 7. As you heard, our first quarter consolidated revenue grew 26% to $292 million. The growth was primarily driven by our SelectRx business as the first quarter is seasonally slowest for Senior distribution ahead of the Medicare Advantage selling season. The most impressive year-over-year improvement was in our consolidated EBITDA for the first quarter, which improved by nearly $10 million compared to last year, driven by our highly-tenured agent force in Senior and strong profitability in our Healthcare Services segment. On Slide 8, I'll briefly talk to the key performance indicators of our Senior distribution business. As mentioned, approved policies were stable year-over-year in a seasonally slow quarter. This performance was ahead of original volume expectations, driven by close rates and agent productivity. The 7% improvement year-over-year in our Medicare Advantage LTV to $812 was primarily driven by continued stable persistence and career mix. On the whole, the Senior business is very well positioned to drive strong unit economics and consistent returns in the ongoing AEP season. Looking at Slide 9, the early results of that consistency were displayed in our fiscal first quarter. Revenue for Senior was up modestly to $93 million, driven by strong LTVs, partially offset by lower policy volume. More importantly, adjusted EBITDA improved significantly to $8 million. This improvement in profitability is attributable to the fact that we hired fewer agents this season, which led to more efficient spending on recruiting, training and onboarding. While we would have preferred to hire a larger agent class given the strong economics we still see in the MA market, this operating leverage is a testament to our strategic redesign that took a significant amount of cost out of the business. Moving to our Healthcare Services business on Slide 10, we continue to see strong success across our member growth, revenue and profitability. As Tim noted, our SelectRx members now total over 86,000, which is a 64% increase compared to a year ago. Additionally, our membership grew 5% sequentially, which is slightly lower than the quarter-over-quarter growth last year. As we noted in our 2025 forecast, we expect more modest growth in SelectRx members in the first half of fiscal 2025 due to normal seasonal trends. Healthcare Services drove revenue of $156 million in the first quarter and adjusted EBITDA of $5 million, our highest quarter of profitability since launching the business. Looking ahead, we expect Healthcare Services profitability to temporarily step down in the second quarter, in line with our expectations as we continue to invest in and prepare for the AEP and OEP season. In addition to the seasonal dynamic, we're also investing in our new state-of-the-art Olathe, Kansas facility, which we expect to come online in the first half of calendar 2025. These near-term investments were contemplated in our original Healthcare Services guidance for the year. We still expect profitability to ramp in the second half and we are confident in our ability to deliver low- to mid-single-digit margins for the full fiscal 2025. On Slide 11, as you'll recall, we rationalized the Auto and Home division and as a result, are showing our life insurance distribution results here. The Life business continues to perform with revenue of $39 million, up modestly year-over-year. More importantly, the business grew adjusted EBITDA by almost 14% and continues to drive stable margins. Now, let's shift to our updated guidance for fiscal 2025 on Slide 12. We are increasing our ranges for both revenue and adjusted EBITDA to reflect the outperformance in the first quarter and our expectations for the rest of the full fiscal year. Revenue is now expected to be in the range of $1.425 billion to $1.525 billion, up from the prior range of $1.4 billion to $1.5 billion, driven by better-than-expected policy production within Senior and continued growth in Healthcare Services. Adjusted EBITDA is now expected in the range of $100 million to $130 million, up $10 million at the midpoint from the previous range of $90 million to $120 million. This is driven by our outperformance in the first quarter and our growing conviction around close rates, productivity and marketing efficiency during AEP. We are proud of our execution this quarter, both from an operational and a balance sheet perspective. The early reads on AEP are encouraging and we remain focused on executing on our 2025 plan. With that, I'll turn the call over to the operator to take your questions.
Operator: Thank you. [Operator Instructions] Now, our first question comes from the line of Ben Hendrix from RBC Capital Markets. Your line is open.
Ben Hendrix: Great. Thank you very much, guys, and congratulations on the quarter. Just a quick question on a couple of your comments. You noted spending more time on policy education, which makes sense kind of in the very dynamic AEP, a lot of changes in Medicare Advantage, and you also talked about agent productivity being higher. I'm wondering if you could talk a little bit about how you're balancing the two. It seems like we've heard folks talk about having to spend more time on the phone to deal with shopping as opposed to actually kind of closing transactions and that's been kind of a volume headwind. It seems like you guys are balancing that very, very well with productivity. Just wanted to kind of get some color on how you're approaching that, and then also how SelectRx fits into that dynamic. Thanks.
Tim Danker: Hey, Ben, good morning. This is Tim. Thanks for the great question. I'll start and maybe ask Bob Grant, our President to speak as well. Again, as we indicated, we're very pleased with the start to AEP. I think we're seeing a very high level of consumer engagement, strong call volumes, while early, very good close rates, agent productivity and that typically leads to enhanced marketing efficiency. It's certainly a different environment this year and that was predicted. We're seeing changes with respect to planned benefits. There's been elevated levels of plan terminations, but it's absolutely what our model has been built on and it's finding that balance to your question of front-end customer acquisition abilities as well as retention. So, we've invested a lot in our retention process and I'll let Bob elaborate on that. Bob?
Bob Grant: Yeah. And directly to the question, are we seeing agents kind of spend more time, which leads to less efficiency? We really are. We're seeing them spend, I guess, more time per call taken just given the fact that close rates are higher, as well as look at that balance, right? The worst years are years where talk time per customer is up, but close rates are down. This is not one of those years. We're seeing increased efficiency through that. We're also seeing a big spike in our occupancy. And we did a lot of work on the technology side to ensure that we would get really, really high occupancy. And occupancy is kind of a percentage of time actually on the phone. We changed a lot of our routing technologies, those types of things. So, we're actually seeing increased consumption as well, which is why it's leading us to have outsized results so far. So, not maybe seeing the same thing that others are saying about increased time, which is leading to less efficiency overall, we're actually seeing the opposite effect. I think that also, Ben, has to do with just our strategy of tenured agents, not hiring a big summer class this summer. And those tenured folks really know how to deal with the complex environment that's there, which again is just leading to outsized results given kind of the disruption in the market. And then, on the backend to Tim's point on retention, we spend a ton of time and money on the technology that we have out there, on education materials, those types of things, which have driven really, really strong results so far as far as consumer engagement, answer rates and everything associated that we really track on the retention side. So, we feel really good about both right now given where we are.
Ben Hendrix: Great. And then, how does the sale of SelectRx kind of factor into that? Is that something that takes a little bit extra time that you have to budget in, in terms of the sales process? Or is that kind of seamless or separate after the initial MA sale?
Bob Grant: It's a really good question. Just it's completely separate. The way that we set it up, right, we wanted to have a completely separate opt-in, totally separate kind of business model over there. So, it's taking no extra time for the agents. We have staffed up a little bit on the CSA, which is on the Healthcare Select side of the house, which is leading to really, really good results there as well. So, no, we're not really seeing any increased time for our sales agents with that. And we've also done some work to make sure that the no sales side which is also a big funnel for us, has stayed really high as a percentage as well. So, all those things are allowing us to really capitalize on the spend that we have and kind of the overall increase in consumption has led to really good efficiency there. One thing to note too, we have gotten better at using off-peak hours for all of these things. And the reason I highlight that is that's where I talk about that occupancy, where we're doing a lot of our kind of extra work, call it, retention work and those types of things is in times where leads are not in abundance. And we really built our technology around that this year to make sure that we could go into the kind of later hours of early evening and be really efficient during those hours, which is driving our results even higher.
Ben Hendrix: Great. Thank you for that. And is there anything in the performance you saw, the trends you saw this past quarter and in your guidance that's making you think that -- or changing the way you're thinking about the timeline for the next leg of your securitization?
Tim Danker: Ryan?
Ryan Clement: Yeah, I'll take that one, Ben. And that's a great question. Obviously, really pleased with getting this first securitization across the finish line. It does provide -- put the infrastructure in place and provides a meaningful extension of the term debt and the collateral that was used. It's overcollateralized, but it was actually a really small portion of the broader commission receivable balance that the business has. So, we are excited about the opportunity to bring additional securitizations to market. All that being said, like while the securitization market is active and open, it tends to slow down in late calendar Q4, which also happens to be our busy season with AEP. We would look forward to and see a path to providing -- bringing a securitization to market in the first half of calendar 2025.
Ben Hendrix: Great. Thanks for the color, guys.
Operator: Thank you. Our next question comes from the line of George Sutton from Craig-Hallum. Your line is open.
George Sutton: Thank you. Nice results. Tim, I wanted to bring two thoughts together, both of them competitive-related. You mentioned in your press release that the benefit plans have shifted significantly, but increasingly, seniors and carriers are turning to SelectQuote. And separately, in your prepared comments, you mentioned your competitive advantage has widened. I wondered if you can go into a little bit more detail on the significance of those statements.
Tim Danker: Good morning, George. Thanks for the question. Certainly, I think it's been noted there are certain carriers that have highlighted their need to improve profitability. Some carriers really prioritizing member -- margins over membership, if you will. At the end of the day, I think they are -- all really care about quality distribution. And I think that is certainly something that we feel very passionate about, right? We're helping consumers certainly in dynamic times like this, helping the ability to help navigate some of the market complexity. We're certainly helping the carriers, too. I think beyond just high-quality distribution, we're one of the only distribution partners that has offerings like SelectRx from a pharmacy adherence perspective as well as our SelectPatient Management, our chronic care management. And we think that, that's very differentiated. We think there's two sides of the coin that we can help with both through high-quality MA distribution as well as extending that value to consumers, to carriers, to the broader ecosystem.
George Sutton: So, I'm kind of stunned that politics hasn't come up at all in this call. Obviously, we're engaged in a horrific season of politics until tomorrow and that's been a big chunk of the AEP. So, you're -- you seem to be very encouraged about what you've seen so far. I would have expected a little bit more caution based on slowness due to the political season. Can you just talk about that dynamic? And would you expect any extension of AEP?
Tim Danker: Yeah. I'll make a few comments and then maybe I can ask Bill Grant to chime in from a marketing perspective. But again, we're very pleased with the results thus far. A lot of this is based upon two facts. One, we had a very strong Q1. And secondly, we get increased visibility early on into AEP. That visibility has made us confident in the underlying dynamics that we're seeing in terms of strong call lead availability, consumer engagement, close rates, agent productivity. We all feel like that has positioned us well for a strong AEP. Bill, do you want to talk a little bit about kind of marketing dynamics in some seasons, right, that has been something we've had to navigate?
Bill Grant: Yeah, absolutely. So, I think with some of the CMS regulation, right, that we supported around some of the TV advertising that happened starting really last AEP, you started to see a shift away from television in kind of Medicare marketing. And certainly, within our mix, we relied on it very, very little where it used to be a pretty significant size of the book. So, I think that's important because television is by far the most affected by the political environment in terms of advertising. So, you can't turn on the TV, obviously, without seeing different political ads this time of year in that space that's taken up by those ads. So, I think because it was kind of an unintended consequence, I guess, that was positive. We started looking and I think one of the benefits of our kind of wide funnel approach, we started seeing different opportunities and really got away from television. So certainly, I think that's been something that hasn't affected us. And then, I think second and really important, we're -- as Tim mentioned, as we differentiate ourselves more and more, I think we're one of the few that's spending dollars and not pulling back, right? I mean, they're significantly pulling back when you look at a lot of our competition. We have a lot of tailwinds of folks that have either recently transacted or have dramatically pulled back in the environment. So, I think overall, when you look at it, the good, it certainly outweighed the bad even with some of the pressure that you might have within television or other that it's caused, we really haven't seen it and really optimistic about how things are playing out with AEP.
George Sutton: Got you. Just a comment. I don't think you could turn anything on that doesn't cause you to see or hear political ad. So, it really has, I think, crowded out everything else. But one other thing is as we get into the latter part of the season, given that you have a reduced agent count relative to what you would have liked, what kind of mechanisms do you have if you start to see excess flows? Are there ways for you relative to your guidance to exceed expectations if the flows are much stronger?
Tim Danker: I'll make some initial comments and turn it over to Bob. We're definitely pleased with what we're seeing thus far. And I think we are absolutely capturing efficiencies as we see them. And I think those that have followed the story over the past two years, our Senior MA distribution team has done a really, really nice job when efficiencies present themselves to be able to capture those. Obviously, we talked last quarter about some of the capital constraints and what that meant for hiring going into this year. But we are -- with that said, we're working, obviously, to resolve the balance sheet and we're very pleased with what our embedded tenure agent force is doing. As to incremental opportunities, I'll turn it over to Bob.
Bob Grant: Yeah. I'd say really what it allows us to do is be pickier and lean on the marketing sources. As Bill said, we're wide funnel. We can really see kind of what's driving oversized results. And as we get later and later into the season, we can take advantage of that and lean into that. To Tim's point, though, we can't necessarily make up for the fact that we don't have the people there. It would be great to have an extra 300, 400 people like we sometimes do. I would say, though, that our close rates are a little bit higher because of not having those people because these people are all tenured. So, it does allow us to take a different advantage of it and really, really see incremental policies with that. So, if we do see an excess environment, I wouldn't necessarily say that it allows us to take more leads. It allows us to take kind of better and lean on our better marketing sources.
George Sutton: Great. Thanks, guys. Appreciate it.
Tim Danker: Thank you, George.
Operator: Thank you. Our next question comes from the line of Pat McCann from NOBLE Capital Markets. Your line is open.
Pat McCann: Thanks for taking my question, and congratulations on the quarter. My first question has to do with your use of technology. It certainly seems that with such a complex marketplace for Medicare Advantage policies that the use of technology could really help out the agents. And I guess I'm wondering, since you did touch on it, if you could give more color on what sort of technology enhancements you've made, and how they'd bear on the consumer interactions with your agents.
Bob Grant: Yeah. It's a great question. And what we have done is just continue to double-down on agent-led technology. And what I mean by that is the enhancements that we've made bring in more and more data to allow the agent to kind of intake a customer's needs faster and more efficiently and then ultimately make recommendations using technology a lot better and then a lot more efficiently. And then, on top of it, we have a lot of AI-based and people-based call monitoring that really allows us to more effectively coach and get everyone on the same page to have a little bit tighter mix of agents. This is the record number of Level 1 agents we've never had. We know exactly kind of who to pull off the phone and why and how to coach them and how to do those things, which has allowed us to be significantly more efficient. So, a lot of what we do is, right, focused on just not having to necessarily gather word-of-mouth data. We can use third-party data to kind of supplement and then ultimately validate stuff, but then also really focus in on who needs kind of what coaching and guidance and lean there, which is why we're seeing record high kind of consumption mix with close rates.
Pat McCann: Thanks. And then, my next question was regarding the marketing spending. I guess, I'm wondering if you could touch on how you optimize within the AEP period as far as your flexibility to see where the best ROI is coming and change your marketing strategy. Is that something that you're very flexible with? I know you said that you're having a nice return so far with your marketing strategy, but I'm wondering if you could touch a little bit on the flexibility of that within the AEP.
Bill Grant: Yeah, absolutely. I can take that. So, yeah, we've kind of set up ourselves with our wide funnel. So, we have kind of max flexibility in terms of where we can focus of where we're seeing positive results. So, we can look at and zero-in on where we're seeing those things. So, we have a read -- pre-AEP starting, right, where we get a pre-look at the plan and try to understand where we might see outsized results. So, like, if we see an area where we believe it's going to have major disruption because there's a lot of plan terminations and we have a good solution, we'll weigh that as the highest ranking, right, because by percentages, we think we can get somebody who had a plan termination and we have a very positive solution. So, we'll look at each of those areas and target and then we'll adjust those based on what we're seeing in real time to understand where we want to spend our money. And obviously, I think that the results themselves will speak for themselves in terms of what we're seeing in terms of our high close rates that are basically allowing us to do more with less in terms of -- or more with the same in terms of the results we're seeing there. So yeah, great question, absolutely can adjust in real time. And what we set up over years has allowed us to be able to do that from source to area to whatever -- wherever we're seeing those positive results.
Pat McCann: Great. If I could ask just one more question, it would just be on the Healthcare Services side of the house. Given the prospect for you to continue to improve your balance sheet, but that, of course, being a priority, I'm wondering how that impacts how you view the potential for acquisitions in the Healthcare Services segment to bring an even more holistic approach to serving the consumer needs on the healthcare side.
Tim Danker: Yeah, great question, Pat. I think absolutely for us right now, you've heard us outline the priorities. We've done a great job on business execution. We plan to continue to do that. We've got a great business that needs some balance sheet improvement. We're really pleased with the $100 million securitization, but we're going to be very, very focused on improving our balance sheet. We believe that that provides the company a lot of opportunity to do exactly what we've done with SelectRx, along with SelectPatient Management, while those are early days. And so, we want to get through our current areas of focus, but we absolutely will keep our eye on additional opportunities to build out our healthcare ecosystem. We think we are in an extremely unique position with consumers that have lots of needs. We have a strong -- very strong level of connectivity informed by self-reported data that really enables us to capture additional opportunities. So, look for us to sequence those, as I kind of indicated there, but certainly part of our go-forward plan.
Pat McCann: Great. I appreciate the color. That's all I got.
Tim Danker: Thank you, Pat.
Operator: Thank you. Seeing as there are no more questions in the queue, that concludes our question-and-answer session. I will now turn the call over to our CEO, Tim Danker, for closing remarks.
Tim Danker: Thank you, again, for joining us. I'll close by, again, noting our commitment to unlocking further growth and profit potential with SelectQuote. We believe we have the operating model, the talent and the asset base to be the leading information and service connectivity hub for the healthcare industry. We look forward to accelerating those efforts in the year ahead. Thank you all again and have a great week.
Operator: Thank you. The meeting has now concluded. Thank you for joining. Have a pleasant day. You may now disconnect.